Operator: Good morning, and welcome to the Neo Performance Materials Third Quarter 2025 Earnings Conference Call. For opening remarks and introduction, let me turn the call over to Karen Murray, General Counsel for Neo. Please go ahead.
Karen Murray: Thank you, operator, and good day, everyone. Today's call is being recorded, and a replay will be available starting tomorrow in the Investor Center on our website at neomaterials.com. Our call will be accompanied by a live webcast presentation. If you are joining us online, the slides will advance automatically as we progress through the discussion. You can also download a copy of the presentation from our website. On today's call are Rahim Suleman, Neo's President and Chief Executive Officer; and Jonathan Baksh, Neo's Chief Financial Officer. Please note that some of the information you will hear during today's presentation and discussion will consist of forward-looking statements, including, without limitation, those regarding revenue, EBITDA, adjusted EBITDA, product volumes, product pricing, income and expense measures, cash returns, operational changes and future business outlook, including potential expansion plans and agreements. Actual results or trends could differ materially from those discussed today. For more information, please refer to the risk factors discussed in Neo's most recent financial filings, which are available on SEDAR+ and on our website. Neo assumes no obligation to update any forward-looking statements or information, which speak as of their respective dates. Financial amounts presented today will be in U.S. dollars. Non-IFRS financial measures will be used during this conference call and the information regarding reconciliation to the IFRS measures is set out in the financial statements and MD&A. I will now turn the call over to Rahim.
Rahim Suleman: Good morning, everyone, and thank you for joining us today. Let's move to Slide 4. The third quarter was another strong period for Neo, marked by continuing to execute our growth strategy in global rare earth magnetics, momentum across the business and end markets and solid financial results. We are advancing our strategic growth plans as an integrated rare earth magnetics and critical materials company. Our product platforms and technologies continue to benefit from megatrends in electrification, robotics, AI and clean energy. And the industry is accelerating its need for critical materials from both robust and localized supply chains. It's important to note that for Neo, we are well prepared to grow into this generational opportunity in rare earth magnetics. Neo, of course, has been in the rare earth magnetic space for 30 years and already has an integrated supply chain with rare earth separation in Europe for decades. Thanks to our operational history, we are extremely well positioned to capture more opportunities with the focus in critical materials to serve our long-standing customers as they need to be served. Moving to Slide 5. Our new European Permanent Magnet facility held its grand opening in September, a major milestone for Neo and indeed, all of the critical materials space in Europe. The event drew senior government officials from the European Commission and customers from major automotive and technology OEMs from across Europe and North America. Our successful grand opening of this European magnet plant is a tangible demonstration of how industrial policy, customer commitment and private investment can converge to create a resilient and regionalized supply chain. Our partnerships with government and industry stakeholders in Europe underscore the strategic value of this project. It's not just a plant. It's the cornerstone of a European magnet ecosystem designed to support the transition to electrification, clean energy and digital technologies. The early feedback from customers has been exceptional, with OEMs recognizing that Neo's European presence provides the reliability, transparency and ESG assurances, all increasingly required in critical material supply chains. This facility is designed as a scalable platform. Phase 1a establishes 2,000 metric tons of annual capacity, supporting both pilot production and initial customer programs for traction motors and eDrive systems. The next step, Phase 1b is already being planned and will expand the site to approximately 5,000 tonnes. Given overwhelming customer demand, Neo will also expand its product offerings and magnetic solutions toward additional applications, including accessory drive systems, wind turbines, robotics, drones and automation. This endeavor will be one of the new largest integrated magnet facilities in the Western Hemisphere. Importantly, this growth can be achieved within the existing site footprint, providing an efficient pathway to scale as customer commitments, responsible launch time lines and policy incentives align. At the grand opening, Neo also showcased our European rare earth separation business, highlighting the integrated nature of Neo's existing business. We are in the process of installing a heavy rare earth separation line in Europe as well, building on the vast infrastructure, skills, technology and operational history that we already have. We expect to start separating heavy rare earth at small scale later in 2016 -- 2026. Moving to Slide 6. Equally important this quarter was the signing of our expanded strategic partnership with Bosch, one of the world's most respected automotive technology leaders. This memorandum of understanding extends a long-standing relationship and formalizes collaboration on the supply of advanced rare earth magnetics for Bosch's next-generation e-motor platforms and other applications. The agreement provides a multiyear framework for magnet supply from our new European facility and underscores Bosch's confidence in Neo's technical capabilities, execution record and alignment with their commitment to resilient localized supply chains. This MOU represents a pivotal commercial milestone and a clear validation of our strategy of investing in Europe. It directly connects Neo's new magnet capacity with another leading Tier 1 supplier. The multiyear nature of this agreement shows Bosch's desire to secure long-term capacity while reflecting one of the key mantras at Neo, it is about working together and managing responsible launch curves. In addition to Bosch and our first awarded customer Schaeffler, Neo continues to advance qualification programs and contract discussions with additional automotive, industrial and renewable energy customers. These engagements are translating into providing long-term demand visibility and supporting our path to scale. I think what should be of particular interest to our shareholders and partners is the nature of Neo's awards and Neo's customers. These are firm awards for real multiyear programs with difficult technical specifications and for which we have already delivered samples. These programs are with some of the most advanced and largest motor manufacturers in the world. After all, to a magnet maker, the motor manufacturer, which is sometimes an OEM and sometimes a Tier 1 is the customer and Neo and Magnequench has served motor manufacturers for decades. These are our customers. They know us well, and we will continue to grow with them. Shifting gears to Slide 7. We are making meaningful progress in simplifying our portfolio and focusing our capital allocation on the highest value segments. In 2025, we have continued to deliver steady EBITDA expansion driven by operational efficiencies, improved product mix and a disciplined approach to cost management. In our 2 largest manufacturing facilities, including the environmental catalyst facility we opened in 2024, we are seeing significant conversion cost savings with the introduction of new automation and advanced data analytic techniques applied to our established manufacturing processes. We have also made advances in sustainability. Neo's rare metals business continues to expand its recovery and recycling capabilities, including gallium and hafnium supporting both environmental and economic goals. These capabilities not only reduce waste but also strengthen our supply chain security. From a liquidity standpoint, our balance sheet gives us the flexibility to advance Phase Ib of the European magnet expansion, invest in next-generation processing technologies and pursue additional opportunities that enhance our downstream value-add capabilities. And as this Slide 8 illustrates Neo continues to be a pure-play beneficiary of the global shifts reshaping supply chains for critical materials. This is the convergence of 3 powerful forces. The macro demand for electrification, robotics, AI and clean energy technologies, public policy tailwinds and customers driving regionalization and our own unique asset base, technical experience and years of operational excellence. Neo is positioned at the center of these 3 key success factors. Our differentiated platform enables us to meet customers' needs across geographies and technologies from magnetics to catalysts to rare metal recycling. These markets are supported by enduring macro trends rather than short-term cycles, which gives us the confidence in the durability of our growth plans. Our teams have done a remarkable job executing on complex projects across multiple geographies, maintaining safety, cost discipline and a long-term focus on profitability. I would like to thank them for their hard work and dedication. And with that, I will now turn the call over to Jonathan for the financial review.
Jonathan Baksh: Thank you, Rahim, and good morning, everyone. Moving to Slide 10. For the third quarter, Neo generated $122 million in revenue and $19 million in adjusted EBITDA, reflecting a resilient demand and strong execution across all 3 business segments. Year-to-date adjusted EBITDA stands at $55 million, up 27% compared to the same period last year. Given the solid results so far this year, we have raised our full year 2025 guidance to a range of $67 million to $71 million up from $64 million to $68 million when we last reported in August. Growth this quarter was driven primarily by increased magnet volumes up about 20% year-over-year, combined with solid contribution from emission catalyst and rare metals recycled. Our margin profile remains resilient despite market volatility, reflecting the benefits of operational efficiency, pass-through pricing and previous portfolio actions to divest highly volatile assets. With that said, during the quarter, we experienced some benefit from customers pulling demand forward, along with favorable movements in rare earth prices. While we continue to use pass-through pricing mechanisms in our customer contracts, short-term margin impacts from price fluctuations may still occur. These dynamics underscore the importance of our disciplined approach to managing volatility and maintaining predictable performance. Moving to Slide 11. I'll touch briefly on performance by segment. Magnequench delivered strong profitability and volume growth in the third quarter with volumes up 21% year-over-year and adjusted EBITDA rising 27% to $8.1 million. Year-to-date adjusted EBITDA reached $22.4 million, up 20% from last year, supported by higher volumes, operational efficiency and disciplined cost management. Growth reflected solid underlying demand and customer restocking activity amid evolving supply chain and geopolitical conditions. Bonded magnet shipments reached a record quarterly high up 38% year-over-year, driven by demand in automotive, AI data centers and energy-efficient applications while bonded powder volumes increased 18%, reflecting continued market share gains and healthy downstream demand. Moving to Slide 12, the Chemicals & Oxides segment delivered another strong quarter with adjusted EBITDA up 213% year-over-year and 358% year-to-date, reaching $4.1 million and $16.4 million, respectively. These results are reflective of higher rare earth prices, portfolio transformation and continued operational discipline. Following the sale of the Chinese separation assets and the relocation of the emission control catalyst operation, the business is now focused on higher-margin growth areas, including emission catalyst and wastewater treatment solutions. Demand remains robust with emission catalyst volumes up 20% in the quarter and wastewater treatment volumes up 42%, driven by global sustainability and environmental regulations. The segment also continues to strengthen its European capabilities, operating one of the region's few noncaptive separation facilities and advancing a new heavy rare earth separation pilot line, which remains on track and on budget as construction nears completion. Products continue to benefit from tighter environmental standards globally, particularly in Asia and Europe. Moving to Slide 13. The Rare Metals segment delivered resilient financial performance with adjusted EBITDA of $11.5 million for the quarter and $30.9 million year-to-date, down 30% and 10%, respectively, from last year reflecting the anticipated normalization of hafnium prices after record highs in 2024. Despite this, end market demand remained strong across aerospace, industrial gas turbine and semiconductor applications supported by continued global investment in advanced manufacturing and clean energy technologies. While hafnium margins declined 41% year-over-year as pricing stabilized, the gallium business performed well, benefiting from solid performance and regulatory tailwinds. Neo also remains one of the only gallium recyclers in North America, a key competitive advantage that supports long-term growth and market resilience. Across all 3 businesses, our teams have executed extremely well in balancing near-term profitability with long-term growth priorities. Moving to Slide 14 and turning to the balance sheet. Neo's financial position remains very strong. We ended the quarter with a net debt position of approximately $28 million and total liquidity exceeding $110 million, including credit facilities and government grants. Importantly, this includes a healthy gross cash balance of $61 million, reinforcing our strong financial position. Our disciplined approach to working capital and low leverage gives us the financial flexibility to fund ongoing growth projects and weather any near-term macro volatility. We also continue to prioritize shareholder returns. During the quarter, we maintained our regular dividend and NCIB while continuing to invest in growth capital projects. As we move into the final quarter of the year, we expect to maintain steady momentum across our core platforms. Reflecting this confidence, we have raised our 2025 adjusted EBITDA guidance to a range of $67 million to $71 million underscoring our ability to deliver strong financial performance. And as we move into 2026, our priorities continue to center on operational efficiency and capital discipline. With that, I'll turn the call back to Rahim for closing remarks.
Rahim Suleman: Thank you, Jonathan. And moving to Slide 16. As we approach the end of 2025, Neo is in a strong position, strategically, operationally and financially. We are executing on a long-term strategy to grow our industry-leading permanent magnet business, enabling supply chain diversity and robustness and supporting the global energy transition and technology advancements in multiple arenas. Our focus remains on operational excellence, delivering reliable, high-quality critical material solutions to our customers, investing in innovation and maintaining financial discipline. With our strong balance sheet, solid customer demand and a pipeline of long-term strategic growth projects, Neo is well positioned to deliver profitable growth and long-term value for our shareholders. Thank you for joining us today, and we will now open the call for questions.
Operator: [Operator Instructions] Our first question comes from Daniel Harriman with Sidoti.
Daniel Harriman: Congratulations on the great quarter. I'll start off with 2, and then I'll get back into the queue. But starting off with Narva now online after the grand opening and export controls continuing to tighten, I'm wondering if you're hearing from interest from customers if they are explicitly requiring localized magnet supply? And if so, how do you think that's going to change the volume or quality of the programs you've been invited into. And then secondly, just with Magnequench and magnet volumes seemed exceptional in the quarter. Once again, I'm curious if you could kind of break down how much of that strength feels structural from traction motors, data center cooling and industrial automation versus maybe just short-term restocking from your customers. But I really appreciate it, guys.
Rahim Suleman: Sure, thanks for both questions. So in terms of the first question with respect to the grand opening and the continued export controls, I think you're right in terms of we are seeing increased customer interest. Although I kind of break it into 2 pieces. I think there was already significant customer interest when we began the planning for this facility, and we did the groundbreaking of this facility, call that 2, 3 years ago, I think the customers already knew that they had a concentration risk issue that was important to them. I think with the restrictions that were put in place in early April, it absolutely ramped up that level of tension, that level of urgency and those requirements. Those requirements remain today. The grand opening facilitated more customers, more potential customers coming and asking for more agreements and more opportunities. So the MOU that we have with Bosch raised more customers to come to the door to ask for similar type of contracts for alternative type of opportunities. But for us, the issue is never actually about customer demand. There is absolutely plenty of customer demand and our customers know our capabilities, and they trust us and they work with us. It's really just about time to launch. I think we're pretty darn confident in the sales funnel. We're pretty darn confident in our operational and technology capabilities, but we are also darn confident in understanding how a plant of this size gets launched and what a responsible way to do that is. So from a demand perspective, there's really no issue. It is figuring out what the right launch curves is and how you bring each customer on board with all of the related PPAP documentation and kind of control mechanisms that we have. When you are an automotive supplier or another supplier on mass production levels. You put a lot of controls in place around your production process for every part. And every part that we win, remember, every platform, at least the traction motor platforms that we're winning, these are $50 million to $100 million cumulative revenue programs. When you launch them, you better be good, you better be right, you better have your costs in place, and that's the way that we approach that. With respect to the Magnequench volumes, your second question extremely high quarter for Magnequench volumes, extremely impressive for us. And I think you pointed it out correctly. It's actually both. It is demand across virtually all of the applications, but we do think some of that is a response to geopolitical environments. The question that is in front of everyone will really be, is this resetting people's inventories pipelines so that people feel more comfortable on how much inventory they're holding? Or was this a temporary -- like is this a pull forward that will get reversed in a future quarter? I think it's more likely that the pipelines are being filled and that customers want to hold more inventory through the system. So -- but I think we'll see if that means that some of these volumes unwind or volumes just return to normal or if there's kind of continued pipeline growth, but I think that the volume number of Magnequench was kind of above our forecast and expectations of what the normal business looks like. But the normal business continues to grow, traction motor business continues to grow even in the existing Magnequench segment, AI data centers continue to grow. So I think all of those elements of the business are performing extremely well. And I think that they'll continue to perform extremely well.
Operator: And the next question comes from Nick Boychuk with Cormark Securities.
Nicholas Boychuk: Coming back to the Bosch partnership, and you mentioned that other partners are coming to you looking for similar deals. Can you give any update on how those negotiations are going? Expectations with Bosch to convert that into a formal order and your appetite to sign similar type contracts with other partners?
Rahim Suleman: Yes. So when you say negotiations per se, really not negotiations in the traditional form. They're more -- everybody talks about what partnership means and the supply chain all needs to be partners, this, that and everything else. I'd say it's one of the first times in my career that I feel that this is a partnership-based conversation that we're having dialogues with our customers and for others that are coming to the door, and we're talking about, look, these are the reasonable launch windows we have available at this point. And this is what the development time line for any particular product would be and people are really understanding in terms of how do they fit into that development type pipeline and how do they fit into the launch curves. I would say the factor here at play is not negotiating over price or negotiating over specifications or this, that or anything else. The factor here is saying, okay, in order for us all to be successful on this path, they require both a level of urgency, better level of reliability. And we require a level of cost certainty. So margin confidence as well as not putting other customers in jeopardy. And I think both sides appreciate the openness of our dialogue. So the opportunities are there, and we'll pivot our pace depending on how launches go and depending on what types of programs. We're having conversations with customers on look, certain types of programs that have certain compositions are probably faster for us to also go through a development cycle for than compositions that are different. So we just kind of make choices with the customer, but we do it in a fairly transparent and open environment because everybody wants everyone to be successful here.
Nicholas Boychuk: So just to clarify then, that in these development partnership conversations you're having, you're able to directly express the margin or the pricing that you need in order to justify investments and they're comfortable with that type of a negotiation or?
Rahim Suleman: Yes. Look, we're not talking about specific prices at this point. Like when we talk about specific pricing those things, we have a sample developed, the composition established, the product flow established and all of those types of things. They understand that there is a difference between the Chinese cost and cost and manufacturing elsewhere in the world. I think we're fortunate and our manufacturing location is actually quite cost effective. I think our customers appreciate that, that cost effectiveness matters. But it doesn't mean that it's the same price or the same cost is producing it in Southeast Asia. So Therefore, there is an open dialogue on the costs are not the same. It's not hostage pricing. It's dialogue around costs are not the same, margin expectations are not the same, new capital in place and return on capital expectations are not the same but let's work together to figure out how we solve the ultimate challenge, which is a diversified supply base. So they're very good conversations. There -- it's less about price negotiation more than it is about understanding what the requirements are and what that path to success looks like.
Nicholas Boychuk: And what impact if any is that having on your thoughts around developing out Phase 1b? Is this potentially pulling that forward, giving you a little bit more certainty to make that investment maybe sooner?
Rahim Suleman: Yes. I think it's about certainty and comfort on making the investment. I think that the investment will proceed on a time line that makes sense for the operation to -- it's not just about winning the programs, but each program has its own launch curve, too, right? So it's about finding the right time that matches all the various launch curves that we have of the programs that we have of those that we're onboarding and when that capacity will be required. Again, the factor is managing the launch curves and then just planning so that we're not spending capital unnecessarily and that we're just finding the right time line for it. So certainly, huge visibility into demand. I guess if you were to -- I'd say it this way, when we started this project 3 years ago, and we evaluated financial risk, customer risk, technical risk, operationally, we evaluated a whole series of criteria for us to move forward on these. And then we had levels of confidence on each of those that ultimately led to the business decision to move forward with this. If you look at one of those criterias, which was customer acceptance, it's more than 100% now. If we were to look at what our criteria was our score on customer acceptance would be greater than 100%, but we still have to get through the time to launch.
Operator: [Operator Instructions] The next question comes from Ian Gillies with Stifel.
Ian Gillies: Could you talk a little bit more about the heavy rare separation expansion plans in Estonia, maybe a bit around ultimately how large you would like that to be, if possible, what you intend to produce? Do you expect it to be a material financial contributor and the like?
Rahim Suleman: Sure. So what I'd say is on heavy rare earth separation, we also follow the same methodology of step by step. So what we are producing here is a mini production line. It's not a lab. We've done lab stuff all through our career. We have our Singapore lab that's been doing heavy rare earth related stuff for 30 years. We have one of the most advanced earth magnetic labs in Estonia already, obviously, and all the infrastructure attached to it. So this line is not lab line. It is -- but it is a mini production line. And the purpose of building the mini production line at first is to roll it out and see some of the dynamics to be able to separate for a while and get real-life experience on some of the time lines and some of the chemistry and some of the purity levels that we're going to get. It will then lead to subsequent decisions on how do we integrate that with the existing light rare earth line and there's various points in time that one can make choices around how one would integrate it or whether one would build an expansion into the light rare earth line as well and whether one would do that on a parallel basis or an integrated basis. So there's lots of decisions and planning and engineering that we would still do again, and I would say that because we have the history, the knowledge and the technical expertise to make what I say is the best decisions, right, to make the right decisions, not to just run forward with whatever one thinks is the right thing to do. We have the ability to play out different options and model different options and see how all of that comes together. So to get it back to your question, the scale remains small. We haven't said specifically what the scale of the product will be. It depends largely on the feed that we're receiving. So we have some heavy rare earths in our existing sets of feed, but not enough. So we'll be working through stockpiles while we're also receiving material from our feed for our existing feedstocks. We need more feedstocks of heavy rare earth generally in the world. In terms of the availability of NDPR, like separate it into the 2 pieces, do we need more feedstock to support separation? Or do we need more feedstock to support magnets. Magnets can buy feedstock from other people like raw material as well and they do. So there isn't -- this isn't an issue that is tied to our ability to make magnets. This is just an opportunity that tie to our rare separation business of scaling that business to be larger. So we'll scale the heavy rare earth line in due course when we have better visibility to more rare earth feed, but we wanted to get this mini production line in place. A, it does provide some rare earth to Magnequench, not enough, but more particularly -- and it's never intended to be enough. We always want Magnequench to be multi-sourced. So we'll always partner with Lynas and MP and others in the industry for sourcing for Magnequench. We've been partnering with them and Lynas in particular for a decade. So we'll continue to do that, but like there's no dialogue on us not continuing to partner with others in the rare earth industry and wanting supply. It really doesn't matter how much we build in our Silmet separation business, our philosophy will always be to be dual sourced or multisourced in those environments. In terms of the actual economics, I think you have to wait to answer that question until we actually have a better view on what the largest and most likely form of next feedstock will be, what the exact heavy composition will be. In terms of what we will separate, I appreciate this getting to be a long answer now. In terms of what we will separate this is always to start by separating Dy and Tb because of the imminent need in magnetics for more Dy and Tb, but the reality is because we've been doing heavy rare separation for 30 years, we have customers around the world for all of the various different heavy rare earth elements. We have one of the largest global technical sales forces in rare earths. So we'll have opportunity to separate other materials as well, working with our customers to satisfy their demands. But we haven't made those decisions as yet. So as I said, we approach it on a step-by-step basis. Sorry for the long answer.
Ian Gillies: Understood. No, thoroughness is always appreciated. Similarly, around capital projects, one of the things that came up during the Estonia tour and the investor presentation, was a potential expansion of Korat in Thailand? Is that a formal project yet? Or is it a thought on the back of a napkin, like where would you define that potential opportunity at this point in time? Because it also seems like some promising.
Rahim Suleman: Yes. It's certainly not a thought on a napkin, but it's also not yet and I think it's -- times are going to be measured in weeks here, not months or quarters where it will become an official project, which is to say I extensively believe it's already official project within the Magnequench planning team, but it still has to be reviewed and go through the appropriate approval process. So I'm very confident in the growth rate of magnets in general, very confident in having more capacity. So probably what's really the focus of the review process that are coming are things around capital efficiency more than opportunity. So it's likely going to happen, but it has to go to the right proof of processes and have the right metrics attached to it before we say yes or no.
Ian Gillies: Are you willing to disclose how much you think that debottlenecking could improve production by that facility?
Rahim Suleman: Probably not yet. And I think what we would be doing in Thailand would be partially debottlenecking, but frankly, it would actually be adding gross capacity because there's just more business. And it would be the types of capacity and the types of programs that we would be focused on within the review process. But it would be like primarily volume and product related style capacity more than trying to solve an existing problem. Conversion costs and everything else are separate projects. There is capital that goes into conversion cost improvements, and it has its on return on capital metrics that we measure. Those things kind of continue in everyday life. Expansion capital goes through a different review process.
Ian Gillies: Understood. Listening to your remarks on Phase 1b of the Estonia expansion or Phase 2, however we choose to frame that. It sounded certainly a bit more optimistic even than a few months ago. A question I get often is why isn't the decision being accelerated from early '27? Like are you putting any thought to pulling that decision forward given what you're seeing?
Rahim Suleman: Yes, I think so. But I mean, like I said, I think that there's a number of different decision criteria that go into whether we would pull that forward. The decision -- the limiting factor, as I said, is not customer interest, it's not demand. That is crystal clear that, that is not the limiting factor in our decision-making process. Our decision-making process, it's so much -- frankly, it's not even about an if, it's merely about when. And the when is merely tied to capital efficiency and ensuring the greatest returns on shareholder capital. It's like it's -- we haven't committed to it, so it's odd for me to say it's not an if decision. It obviously isn't if decision. It still need to see proper economics. We still need to go to the board. We still need to do a number of things. But from a customer demand perspective and from what we know about our ability to make the magnets and ability to understand pricing and have customers like all of those things are well established for us by now. So again, the decision on -- I'll say, the decision is primarily one related to timing, and that's really just about capital efficiency and the greatest return on capital to shareholders.
Ian Gillies: Last one I'll ask. At this juncture, given your conversations with whether it be the EU or specific European governments, like do you get any sense yet as to whether any sort of similar pricing arrangements could happen in Europe similar to what's happened with the DoD in the United States?
Rahim Suleman: So I'll break the question into 2, which is to say, unfortunately, we're not going to comment on specific conversations that we're having with various governments around the world. So we won't provide any specifics on those dialogues. But in terms of the general concept around price floors or price supports or this, that or everything else, let's bear in mind that for Magnequench, which is the magnet-making portion of this kind of supply chain and probably the most important element of the dialogue for us, the raw material is on pass-through. So it's less of an economic consideration for Neo in terms of Magnequench. It just affects the viability to the customers' side of things and provide certainty to a customer in terms of pricing, and I think those things are valid and -- but there's pros and cons to both. In terms of the separation side of the business, I think it does have a bigger impact to the separation side of the business, but we're not a mining company, so it doesn't have that level of impact. So a couple of different dynamics to put into the mix. But as I said, we won't comment specifically on government conversations.
Ian Gillies: Fair enough. I had to try.
Rahim Suleman: Absolutely. But we are everybody's favorite phone call these days.
Operator: Thank you. And I'm showing no further questions at this time. Ladies and gentlemen, thank you all for joining us. This now concludes today's conference call. You may now disconnect.